Ralph Fong: Hello, everyone, thank you, for joining us on ReneSola's conference call to discuss third quarter results. We released third quarter 2017 results earlier today and they are available on the company's website as well as from newswire services. You can also follow along with today's call by downloading a short presentation available on the company's website at renesolapower.com. 
 On the call with me today are Mr. Xianshou Li, Chief Executive Officer; Ms. Maggie Ma, Chief Financial Officer; Mr. Doran Hole, Group Vice President of Strategy; and Ms. Rebecca Shen, Director of Investor Relations. Rebecca will read Mr. Li's prepared remarks regarding ReneSola's operating highlights, and Maggie will review our third quarter 2017 financial results. 
 Before we continue, please note that today's discussion will contain forward-looking statements made under the safe harbor provisions of U.S. Private Securities Litigation Reform Act of 1995. Forward-looking statements are mainly related to the company's continuing operations, and you may not be able to compare such information with the company's past performance or results. Forward-looking statements involve inherent risks and uncertainties. As such the company's results may be materially different from the views expressed today. Further information regarding these and other risks and uncertainties is included in the company's annual report on Form 20-F and other documents filed with the U.S. Securities and Exchange Commission. ReneSola does not assume any obligation to update any forward-looking statement except as under -- required under applicable law. 
 Please note that unless otherwise stated, all figures mentioned during the conference call are in U.S. dollars. 
 With that, let me now turn the call over to Rebecca, who will translate Mr. Li's prepared remarks. Rebecca? 
Rebecca Shen: Thank you, Ralph. The following are Mr. Li's prepared remarks. Thank you, everyone, for joining our call this morning. We appreciate your interest in ReneSola. So to get started, I will review the operating highlights, then Maggie Ma, our CFO, will cover the financial results of the third quarter provide guidance. We'll then open the call to Q&A. 
 Our operating results of the continuing business in Q3 were generally in line with our expectation and we're off to a good start, as we transform into a pure-play downstream player. Our downstream strategy is to pursue opportunities in small-scale solar projects in diversified regions. We are focused on this niche market, as we believe this is the trend of the project development in the solar industry, and there are several factors why we focus on this niche market. First, small-scale projects are supported by the governments in all the major jurisdictions, including China, Poland, Turkey Canada, et cetera. 
 Second, compared to large-scale utility projects, small-scale projects are usually secure with higher PPA price and thus, bring a higher return. Third, small-scale projects, especially rooftop projects, show more flexibility compared to ground-mounted projects, as electricity generated from those projects can be sold to end users directly, and low centers with less transmission loss. The company currently owns and operates 156.4 megawatts capacity of solar assets. Our assets are diversified around the world, given that it's an attractive risk profile. We operate 136.7 megawatts of rooftop projects in China, 15.4 megawatts in Romania and 4.3-megawatt rooftop projects in the United Kingdom. We now have over 100 megawatts of China rooftop projects under construction, and we expect to connect on the majority of them by the end of the year. In addition, we currently have 17.6 megawatt of completed projects for sale. Not only are our current operations strong, our pipeline remains sizable. We have a robust pipeline of future projects across different geographies in various stages of development. Our late-stage pipeline features 579 megawatts in the U.S., Turkey, Canada, Poland, Thailand and China. Our early total pipeline features power projects around the world. Some with initial capacity of approximately 1.1 gigawatts. We're actively exploring opportunities in other markets, such as Hungary and South Korea. With that, we continue to believe our credentials and capabilities continue to give us a competitive edge over our peers. 
 Now let me turn your attention to our downstream efforts in several key geographic regions. First, China. China rooftop market is a solid and lucrative opportunity for us, as discussed. We have aggressively established our presence in this market. Rooftop solar can provide steady cash flow, double-digit IRRs and reduce risk of a curtailment or subsidy delays. We now have over 135 megawatts of rooftop solar under operation concentrated in a handful of eastern provinces with attractive development environments, including Zhejiang and Shanghai and Anhui, Henan, Jiangsu and Shandong provinces. Those are the most developed regions in China where the leased end users are with higher credibility. And we are on track in our goal of holding approximately 200 megawatts of solar rooftop projects in China by the end of 2017. Additionally, we connected 13.9 megawatts of rooftop projects in China in Q3, which we intend to hold. We continue -- we'll continue to pursue opportunities in China DG market, especially those CNI rooftop with high PPA price, thus, less reliance on subsidies. Our assets in the China-rooftop market enable us to become the only U.S.-listed company, leverage the large and exciting China rooftop opportunity. 
 On the financial front, we have developed and maintained a solid relationship with a number of financial institutions to get -- to fund the projects. The company has obtained over RMB 300 million of financials during the quarter. The U.S. continues to be a large and robust market for us. We now have over 190 megawatts of late-stage projects, of which, over 50 megawatts is community solar. We will continue to identify opportunities in that areas which we see a high PPA prices then utility projects. In Canada, we have 8.6 megawatts projects, which are under construction in the current quarter. These projects are eligible for FIT3 with price higher than CAD 0.28. In addition, we have approximately 10 megawatts of FIT portfolio that are under acquisition process. In Poland, we were awarded 55 megawatts of projects from the government auction each with size of 1 megawatt. 40 megawatts of those projects are under construction and we expect them to be connected to the grid early next year. In addition, we have recently secured financing from Sequoia Economic Infrastructure Income Fund for the 55 megawatts of Projects. 
 As discussed during our last call, Turkey is an important market for us with abandoned sunshine resources. We have approximately 120 megawatts of project pipeline there and connected a total of 12.6 megawatts of ground-mounted projects in Q3 with revenue expected to be recognized in Q2 of 2018. In addition to those geographies I just mentioned, we are also exploring opportunities in markets including France and Thailand. Before I turn the call over to Maggie, I would like to make a strategic comment. As we previously discussed, while the build and transfer model has been and will be an important strategy for us over the near term. We will also intend to start retaining more projects, becoming an operator that sells power. And let me reiterate that independent power producer model is especially attractive given its result in high-margin recurring revenue. Over time, we intend to shift to meaningful amount of revenue to high-margin recurring power cells. In Q3, we generate 36.8 million-kilowatt hours of electricity of which approximately 29 million-kilowatt hours of electricity were from the DG solar project in China. The significant amount of electricity generated from our DG market marked an important milestone in our project development efforts in the China rooftop market. In summary, downstream projects remain a sizable opportunity globally. And I am excited about the opportunities ahead of us. Our team executed well in the quarter. We successfully connected a total of 26.5 megawatts of projects in China and Turkey and currently have over 167 megawatts of projects under construction globally. I continue to believe that our strong and capable team, extensive financing relationships and track record of success in project development will enable us to profitably grow our business. With that, let me turn the call over to Maggie for comments on our financial performance. Maggie? 
Maggie Ma: Thank you, Mr. Li and Rebecca, and thank you, everyone, for joining us on the call today. Note that unless otherwise specified, the results presented during the call excluded the discontinued operations. Discontinued operations related to the company's manufacturing business and LED distribution business, which were disposed of in the third quarter of 2017. Also, note that the company's full financial results including discontinued operations are not available at this time. 
 I will now review our financial performance for the third quarter 2017 for the continuing business and discuss our outlook. Revenue of $36.3 million was up 24% year-over-year. This compares to our guidance of $40 million to $45 million. The revenue shortfall was due to the delay in revenue recognition of the sales of our community solar portfolio in Minnesota and the EPC revenue in China. 
 Revenue from the build-and-transfer and EPC business was $26.3 million, as we recognized the revenue from several project sales, including 5 megawatt of projects in the U.K., 6.75 megawatts in North Carolina and the 1.3 megawatt in Massachusetts in the United States, coupled with the EPC service of 5.7 megawatts that we did in China. 
 Electricity sales were $5.6 million. As Mr. Li mentioned, the company generated 36.8 million kilowatt-hours of electricity in Q3. 
 Gross profit of $6.4 million was up 157% year-over-year. Gross margin was 17.6%, in line with our expectation of 16% to 20%. Gross margin from electricity sales was 67%.
 EBITDA was $6.5 million in the third quarter of 2017. Operating income was $3.8 million compared to operating income of $0.4 million in the same quarter last year. 
 Operating expense were $2.5 million, down from $3.2 million in Q2 2017 and up from $2 million in Q3 2016. 
 Sales and marketing expense were $0.6 million, up from $0.4 million in Q2 2017. The sequential increase was mainly due to higher commission expense. 
 General and administrative expenses were $1.9 million, down from $2.1 million in Q2 2017. 
 Below the operating line, line operating income of $140,000 included interest expense of $1.1 million and foreign exchange gain of $1.2 million. 
 Income loss before tax and the noncontrolling interests from continuing operations was $4 million compared to a loss of $0.6 million last quarter and net loss of $0.5 million in Q3 2016. 
 Now let us turn to our balance sheet. Cash and equivalents were $5.2 million at the end of the third quarter, up from $3 million at June 30 2017. Long-term borrowing of $30.4 million were associated with the Romania projects. 
 Finally, we concluded with guidance. For the fourth quarter of 2017, the company's project business is expected to generate revenue in the range of $55 million to $60 million, and overall gross margin in the range of 10% to 15%, with a gross margin of IPP business in the range of 48% to 53%. The company expect to connect 60 to 80 megawatts of projects during the fourth quarter of 2017. 
 We would now like to open up the call for any questions that you may have for us. Operator, please go ahead. 
Operator: [Operator Instructions] Your first question comes from the line of Carter Driscoll. 
Carter Driscoll: Carter Driscoll from B. Riley, FBR. Can you talk, maybe, overall, if what your internal hurdle rate is, maybe company-wide or by region, or help give us a range of what you're looking for, maybe by your top 3 markets, if you can share that? And I have a follow-up. 
Rebecca Shen: On top of what? 
Maggie Ma: Top 3 markets. 
Rebecca Shen: Top 3 markets were for project development, right? 
Carter Driscoll: Yes, yes. Trying to figure out what your internal hurdle rate. I'm sure it does move around. But if you have a range that you could share. Or on a go-forward basis, what you're looking for as your minimum hurdle rate, either on company-wide or by your top geographies, whatever level of color you can give? Your IRR. 
Maggie Ma: IRR return rate? 
Carter Driscoll: Correct. 
Xianshou Li: [Foreign Language] 
Rebecca Shen: So we're talking about our wireless market, China. For the nonmetering projects in China the project-level IRR could be around 8% to 10%, with equity IRR in the range of 12% to 15%. And talking about our market -- our project in Europe, in Poland or in the U.K., the equity IRR could be in the range of 12% to 15% as well. And in Canada, as our project there is FIT3 project, the FIT price is very high to CAD 0.28. So the equity IRR could be over 20%. And in the U.S., let's talk about the community solar. The project equity IRR could be over 10% as well. 
Carter Driscoll: That's perfect. You talked about the transition from Build-Transfer to Build-to-Operate. Do you have a rough long-term goal you'd care to share? Is it 50-50? Is it 70-30? And how would you define the longer term? Would this be 2018 or more of the 2019, the 20 time -- the 2020 time frame? And then as a follow-up, do you feel, with the projects you have under constructions you have, and I realize that if there'll be different time periods of which you'll be selling these projects. But you feel you have sufficient capital to develop your construction pipeline, as you currently stand? 
Xianshou Li: [Foreign Language] 
Rebecca Shen: So we now have BT projects, because those are the contracted projects that we signed in the early years. So we plan to finish -- we plan to complete those projects in the half of 2018. And from the second half of 2018, the majority of projects -- the majority of our projects will be IPP projects. So we tend to hold the projects. [Foreign Language] So we are going to recycle the money from those EPC or BT projects that we invested to support the IPP business. 
Carter Driscoll: So that will be part of the capital that you're looking to recycle and therefore, help reduce what you might have to do externally, is that fair to think about? Recycling that for what you have under construction? I just -- I guess I'm trying to get a sense of this. How much you can spend out-of-pocket in 2018 versus what you currently have on the balance sheet. 
Maggie Ma: I'm sorry? 
Carter Driscoll: I said, I'm just trying to get a sense of your CapEx to finish the projects under construction versus, obviously, your internal expectations, where you're going to sell them and get a sense of what your capital needs might be in 2018. 
Rebecca Shen: Okay. [Foreign Language] 
Carter Driscoll: Is -- do you have a sense of what your capital needs might be for 2018? 
Rebecca Shen: [Foreign Language] So we are going to retain our goal of 500 to 550 megawatts of IPP assets by the end of next year. Which means that we will -- we would invest around USD 500 million next year. And 70% comes from rent -- from bank borrowings. So the rest will be from our equity investments. 
Carter Driscoll: Okay, so somewhere from capital recycling from that, out of the $5 million, you need 30%, so there will be some split of $150 million from internal cycled versus external raises? Okay, that's fair. Just maybe this last question. Are you getting increasing requests to include storage, particularly with your -- either  your -- the community solar projects, or what you aggregate a little bit higher up in the scale. I'm just trying to get a sense of what the pull through is for energy storage demand, and how you're going to plan for -- if so how are you going to plan to address that? 
Rebecca Shen: [Foreign Language] 
Unknown Executive: [Foreign Language] 
Rebecca Shen: Yes, so maybe Dora will give you a sense of the U.S. market later. But what we can tell you right now is that we are looking at the South Korean market. And the South Korean market, they have a subsidy plan to those solar projects with the energy storage. So the scheme works like, they give you a, like, 50% more of green certificates sold to those solar projects with energy storage. So we are seeing the trend in some specific markets. So he thinks there's a lot of storing to do with them, energy storage and the solar projects. 
Carter Driscoll: All right. So just a clarification. So it sounds like your strategy with storage is to look for this in a similar manner to your solar geographies, where you have favorable fees and tariffs or subsidies and pair that with the same type of programs or similar types of programs for storage? That's a fair characterization? 
Rebecca Shen: Yes. 
Operator: Your next question comes from the line of Justin Clare from Roth Capital Partner (sic) [ Roth Capital Partners ]. 
Justin Clare: So first in Q3, you generated about $26 million in revenue from the build and transfer business and then close to $6 million from electricity sales. So it leaves us about $4 million that's not accounted for. Just wanted to understand what that was from. 
Rebecca Shen: [Foreign Language] 
Maggie Ma: Those are some one-time revenue. It comes from some supplementary equipment left from the construction of our previous project. So we sell them out. So this is the one-time revenue. 
Justin Clare: Okay, onetime revenue, okay. And then for Q4, can you share how much of your revenue you expect to be generating from the IPP business and will be electricity sales versus how much will be from projects sales? And then if you could talk about which projects specifically you plan to sell in Q4? 
Maggie Ma: We are adamant that, I think, maybe $12 million to $13 million comes from overseas project, DT project. And the rest of them are $4 million. $3 million to $4 million comes from IPP sales because comes into winter. And power generation will be less than Q3. And the rest comes from Chinese EPC and BT projects. 
Justin Clare: Okay. And then as we look into 2018, you reiterated your target to try and reach 550 megawatts on balance sheet by the end of the year. But in terms of the project sales that you expect for the year, how many megawatts do you think you could sell in 2018? 
Rebecca Shen: [Foreign Language] 
Unknown Executive: [Foreign Language] 
Maggie Ma: So basically we estimated that we will -- in 2018, we'll get some from overseas projects, we will sell 8 -- okay, 60 megawatts from U.S. and other overseas countries. And 20 megawatt from -- over 20 megawatt from China for EPC projects. 
Unknown Executive: [Foreign Language] 
Maggie Ma: So in total, 80 megawatts. 
Unknown Executive: [Foreign Language] 
Justin Clare: Okay, okay. So that covers all the projects that you plan to sell in '18? 
Maggie Ma: Right. 
Justin Clare: Okay. And then I had just one more here. In China, there have been discussions about potential cut to the feeding tariff for the DG segment. It looks like it could be as early as January 1, but that's not too far off here. Just wanted to get a sense for your expectations, when do you think a potential cut to the feeding tariff could be. And then how could this affect your IRRs for your business there? 
Rebecca Shen: You mean for the DG projects, right? 
Justin Clare: Yes, exactly. 
Rebecca Shen: [Foreign Language] 
Unknown Executive: [Foreign Language] 
Rebecca Shen: Okay. So Justin, we don't -- we haven't heard any official announcement yet for regarding our internal financial model. We model a subsidy cut of RMB 0.10 for that medium of projects since January 1 next year. And for our -- for those projects that are connected to the grid, we model a RMB 0.10 subsidy cut since the second half of next year. So that's our internal assumption. 
Justin Clare: Okay. Can you share what that does to your IRRs for each of those types of projects? 
Rebecca Shen: [Foreign Language] 
Unknown Executive: [Foreign Language] 
Rebecca Shen: He doesn't think that there will be a lot of impact to the IRR. So he thinks the project IRR will still be in the range of 8% to 10% as we model a module ASP cut from RMB 5.59 to RMB 5.0. 
Unknown Executive: [Foreign Language] 
Rebecca Shen: No, no, not module. Project cost. 
Justin Clare: Okay, the -- so the CapEx for the project? 
Operator: Your next question comes from the line of Paul Strigler from Esplanade. 
Paul Strigler: One housekeeping question. I didn't see a balance sheet in your press release. I know you outlined some basic metrics from your balance sheet, but can you maybe walk through some of the key items? How much total cash restricted, unrestricted, short-term debt, long-term debt -- just so we can think about what your post-transaction balance sheet looks like? Or will you actually publish one once the auditors sort of finish up their work? 
Maggie Ma: Now you know that we are in the process of a transition -- transit our auditors. So for the detailed line items of balance sheet, we're still confirming this with the auditor and together with the previous auditor. So basically we are -- at the end of Q3, the cash and equivalent was about $5 million, and we $30 million of bank loan. And also, we have -- we've gotten over $60 million long-term financing lease at the end of Q3. And our total assets reaches about USD 300 million. So basically, I think the -- this is the rough data. The equity is around $80 million. It's like that. 
Paul Strigler: And so on the short-term liability side, do you have the payable balance or any short-term debt outstanding? Can you share that? 
Maggie Ma: Yes, we have some payable to suppliers, yes. But right now, we still cannot disclose too detailed information so far. 
Rebecca Shen: We don't have short-term borrowings, right? 
Maggie Ma: We have -- yes, we -- all the bank loan and long-term financial lease or long-term liabilities. So for short term, those are the supplier -- payment to suppliers, right? 
Paul Strigler: Okay, great. And then I don't know if Justin asked this. I heard the response, but I didn't hear his exact question. Can you just share your gross margin for Q4? You share IPP gross margin, you share your total gross margin. So what is the build-and-transfer gross margin in Q4? 
Maggie Ma: So in total, the gross margin is between -- in the range of 10% to 15%. So yes, but for the BT project, I think the gross margin is, compared to the IPP business, is quite low -- quite lower than the IPP business. 
Unknown Executive: [Foreign Language] 
Maggie Ma: Yes, below 10%. So that's one of the reasons that we want to do more IPP business in the future. 
Paul Strigler: So is that a one-time situation where the EPC, our build and transfer margin is very low? Or is that the state of the industry today, where in 2018, we should expect, call it, high single-digit gross margins from that business? 
Rebecca Shen: [Foreign Language] 
Unknown Executive: [Foreign Language] 
Rebecca Shen: So he said, in the long term, we see the trend as the BT gross margin going down. We used to see a high gross margin for the BT EPC business to 20% to 30%. And [indiscernible] with more and more competitors entering into the downstream market, we just see a lot of competition there. So -- especially to the utility-scope projects. So he thinks that it's a long-term trend that the BT gross margin is going down. 
Paul Strigler: Understood. And then just on the Q4 guidance, are the Panda North Carolina asset sales included in that Q4 revenue guidance? Is that a reasonable chunk of that revenue? 
Rebecca Shen: [Foreign Language] 
Unknown Executive: [Foreign Language] 
Maggie Ma: [Foreign Language] 
Rebecca Shen: No, we don't. No. 
Unknown Executive: [Foreign Language] 
Rebecca Shen: No. Q4 guidance does not include the project sale to Panda Green. 
Paul Strigler: Got you. So is that going to be recognized in 2018? Or has that already been recognized? 
Rebecca Shen: No, it that hasn't been recognized yet. [Foreign Language] 
Unknown Executive: [Foreign Language] 
Rebecca Shen: So we are still in negotiation with Panda Green. We may consider holding the projects. So it's not confirmed yet. 
Operator: [Operator Instructions] We don't have any questions as of the moment. You may continue. 
Rebecca Shen: Thank you, operator. Let me make some closing remarks on behalf of Mr. Li. I am optimistic about our opportunities in front of us. We continue to work very hard to create what we believe is the path to sustained profitability. Project development is our business focus from an operational standpoint. We retain our focus on tight cost control and cash generation that will further strengthen our balance sheet. That concludes our call today. You may all disconnect.